Operator: Good morning, ladies and gentlemen, and welcome to the Pan American Silver’s Fourth Quarter 2023 Unaudited Results Conference Call and Webcast. At this time, all lines in a listen-only mode. Following the presentation, we'll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, February 22, 2024.  I would now like to turn the conference over to Siren. Thank you. Please go ahead. 
Siren Fisekci: Thank you for joining us today for Pan American Silver's Q4 and full year 2023 conference call. This call includes forward-looking statements and information and makes reference to non-GAAP measures. Please see the cautionary statements in our MD&A, news release and presentation slides for our Q4 2023 audited results, all of which are available on our website.  I'll now turn the call over to Michael Steinmann, Pan American’s President and CEO. 
Michael Steinmann: Thanks, Siren and thank you, everyone for joining our call today. The past year was a dynamic period of growth and change for Pan American. We added four new mines in two new jurisdictions. We streamlined our portfolio through the sale of non-core assets and we announced the preliminary economic assessment for the La Colorada Skarn. With integration of the assets we acquired from Yamana now complete, we continue our focus on improving margins through safe cost efficient operations, harvesting synergies and further portfolio optimization.  In 2023, the nine month contribution of the assets we acquired grew 11% increase in silver production and a 60% increase in gold production over 2022, and resulted in record revenue for both Q4 and for the full year. Operating cash flow for Q4 was $167.4 million net of $32.4 million in taxes paid and inclusive of $56.1 million of cash from working capital. We recorded the net loss of $0.19 per share in Q4, driven by three non-cash charges.  The first relates to the final purchase price allocation for the acquired Yamana assets and American finalized the purchase price allocation or PPA. Asset values for the amount of gold acquisition in Q4 2023 resulting in a $16.5 million improvement to previously reported Q2 2023 and Q3 2023.  IFRS Accounting Standard Reporting Rules for business acquisitions required that all accounting impacts to earnings from the finalization of PPA asset values be retrospectively recast to prior quarters. As a result, the additional $16.5 million or $0.05 per share in earnings for the year related to revised depreciation charges for the final PPA asset values must be retroactively applied to Q2 and Q3 rather than applied to Q4 2023 earnings. There's no impact on full year 2023 earnings.  The second factor impacting Q4 earnings was a $36.2 million impairment charge for the crushing and agglomeration plant of Shahuindo. The plant was constructed prior to Pan America's purchase of the mine in 2019, and we have never operated it.  The third factor was a $13.8 million closure in decommissioning expense, largely due to the revised reclamation estimate that Alamo Dorado in order to withstand high intensity rainfall events through the installation of impermeable barriers for the waste dump and enhanced side drainage system. The closure of the tailing storage facility at Alamo Dorado has been successfully completed. The impact of the impairment and the closure of decommissioning liability was removed from adjusted earnings.  Production in 2023 was pre-released on January 17, 2024, and largely in line with our expectation. Silver was slightly below our guidance range at 20.4 million ounces, while gold was within guidance range at 882,900 ounce. Shortfall in silver production was largely due to the ventilation constraints at La Colorada together with the temporary suspension of operations in October, 2023.  They're looking forward to the completion of the new ventilation system mid-2024 in order to access the higher grade mine zones for the northeast. Excavation of the new 5.5 meter concrete line ventilation shaft was completed, the final depth of 581 meters on schedule in December, 2023, and the remaining key pieces of infrastructure to large exhaust fans to draw the hot humid air out of the mine are expected to be installed by the end of Q2.  The first two quarters of this year will continue to reflect the challenging operational conditions, expect significant improvement in the second half of the year with high throughput and lower costs thereafter. The production shortfall at La Colorada and higher mining costs at both La Colorada and Huaron resulted in cash costs and all in sustaining costs for our silver segment operations coming in above our guidance range for 2023, increase or partially offset by lower cost of several modal from higher than expected gold by product credit and at San Vicente from lower costs and higher silver production.  Gold production and gold segment all in sustaining costs were within our guidance range for 2023. Our cash cost for the gold segment came in above the guidance range, largely due to the lower gold production at El Penon. That is closed in the third quarter of 2023, gold grades mined at El Penon were lower than we had anticipated in certain high grade sections of the mine. We are increasing the drill density at El Penon after drilling fell behind late in 2022 and early 2023, due to a change of a contract to buy Yamana. We expect to provide more information on El Penon with the midyear reserve update. We released our guidance for 2024 on January 17.  In 2024, we expect to produce between 21 million and 23 million ounces of silver and between 880,000 and 1 million ounces of gold. All in sustaining costs for the silver segment are expected to be between 16 and 18.50 per ounce and between 14.75 and 15.75 per ounce for the gold segment.  At Jacobina, we are expecting processing rates of approximately 8,500 tonnes per day with stable gold recovery rates around 96%. The new carbon in power tanks were mechanically completed and the new concentrate leach system began operating late 2023. We are undertaking a comprehensive optimization study of Jacobina to evaluate alternative mining methods and enhancements to the processing facility to optimize the long-term throughput and economics of that mine.  At El Penon, we are assuming that grades and throughput rates will be similar to what we realized in the second half of 2023 pending the new infill drilling results. We expect to complete mining at Dolores by Q3, 2024 with residual leaching to follow-up for several years thereafter.  Silver production is expected to be largely back end loaded from improved ventilation conditions at La Colorada and an expected improvement in grades at Cerro Moro, as we access and bring into production the NATE satellite deposit, which is located 25 kilometers from the plant side. Costs will reflect that production profile being heavily weighted to the first two quarters and significantly decreasing in the back half of 2024. As shown in the quarterly operating outlook provided with our Q4 disclosure. We also expect to spend between $295 million to $310 million on sustaining capital and another $80 million to $85 million on growth projects, primarily for advancing the La Colorada Skarn, completing the tailing filtration project at Huaron, finishing the paste backfill facility at Bell Creek and completing some plant upgrade projects initiated by Yamana at Jacobina. Sustaining capital is largely to expand tailing stamps and leach pads to extend underground mine ventilation systems and open pit mine based stamps for exploration, to replace an overhaul mobile equipment and for certain operating lease payments. Turning now to our strategic initiatives. In January, we filed an updated technical report for our La Colorada property, which included the preliminary economic assessment for the La Colorada Skarn project. Our objective is to provide investors with exposure to silver and to Skarn provides that exposure in scale. Annual silver production is estimated to average 17.2 million ounces during the first 10 years. It is also expected to produce 427,000 tonnes of zinc annually during that period. Given the volume of base metals in the deposit, we are assessing interest from base metal producers and other capable parties to explore long-term partnerships to develop this polymetallic project. We're focused on the large amount of anticipated silver production from this deposit.  Turning to Escobal, a new government took office in Guatemala in January, 2024, and we had our first meeting with the new Ministry of Energy and Mines or MEM on February 7, 2024. The meeting for the ILO 169 consultation was held yesterday on February 21, with the newly appointed Vice Minister of Energy and Mines and Xinka representatives. During which presentation on the observations of the Xinka’s appointed consultants was communicated. We look forward to receiving the reports and working with the man to ensure accurate information is communicated to the Xinka participating in the consultation process.  As usual, we are not providing a timeframe for completion of the consultation or a potential restart off the mine. At America's financial position strengthened over 2023, at year end, our cash and short-term investment reached a record of $440.9 million and we had the full $750 million available under our undrawn revolving sustainability linked credit facility.  Total debt of $801.6 million was mostly related to two senior nodes we acquired through the Yamana acquisition. We expect cash flow generation to improve in 2024, as we realize the contribution of a full year of the four new mines and cost savings through synergies and lower care maintenance costs. However, we expect cash flow to be back and weighted given the production and associate cost profile I previously outlined. As well, we expect approximately half of the estimated $95 million to $100 million of tax payments will be paid in the first quarter of 2024.  Yesterday, we announced our intention to begin buying back some of our shares. We have been opportunistic in the past when making acquisition. At the current market dislocation between our equity and asset valuations, we believe that share buyback is a prudent and a creative use of capital and we'll apply the same opportunistic approach in repurchasing Pan American shares. We also announced yesterday a cash dividend of $0.10 per common share in line with our policy. In 2023, dividends paid totaled $130.4 million.  Before opening up for questions, I would like to welcome Scott Campbell, who’s coming back to joined the company in April. Scott will help oversee the company's operations and lead the corporate project group reporting to our Chief Operating Officer, Steve Busby. The senior operational expertise will be very valuable as we work to optimize our portfolio and advance our growth projects.  On behalf of the entire team at Pan American, I would also like to thank George Greer for his contributions to the company over the past 17 years. George we wish you all the best for your retirement coming up later in this year. Together with the other members of our management team, we would now be happy to take your question. 
Operator: [Operator Instructions] Your first question comes from the line of Cosmos Chiu from CIBC.
Cosmos Chiu: Maybe my first question is on your quarterly guidance. Thanks, Michael, for providing us with quarterly guidance. As we can see, it improves quarter-over-quarter. My question is, I understand the second half is going to be better than first half, but I do see a big drop or improvement in terms of silver cost in Q4. Just wondering how you're going to get there. I think it's a fairly big drop even from Q3 into Q4 in terms of all in sustaining costs for silver.
Michael Steinmann: Yes, there's a big drop, of course, heavily impacted by La Colorada's changes to back to bigger production, more ounces after the ventilation circuit is back working. Of course, that was the reason for the high cost last quarter. So that big impact will be reversed and that's why it's a bit, but I'll hand it over to Steve to give us a bit more color on the cost side.
Steve Busby: Yes. Cosmos, I think I would add the other thing to look at is on Cerro Moro. We have a back end loaded gold production in Q4. It's quite high and that's a byproduct credit there. So that's really driving a big part of the Q4 change as well.
Cosmos Chiu: And then, Michael, as you mentioned, there were a number of onetime items in your earnings in Q4, including, Shahuindo, the crushing agglomeration plant, $36.2 million write down. I'm just wondering, was that something that you could have sold? Did no one want it or did you try to sell it? 
Michael Steinmann: Again, I will start and then Steve will have more color to this. This plant has been built by Tahoe before we actually purchased the company. We had obviously looked at that other plant during operation. We opted for a solution of blending between coarse and fine grain material as way more economic solution than using the plant. So the plant is now, let me just think, probably 7 years old, 8 years old. We have never used it. And I think where we stand right now and with the blending solutions that we found, we come to the conclusion that it's -- that we will not turn it on looking forward. But Steve, maybe he will give us more details.
Steve Busby: Cosmos, Michael is precisely right. And really the issue was we were trying to decide, we were trying to look at all the alternatives of treating the high clay ores of Shahuindo and looking at the blends, looking at the rock availability. And so we kind of kept that plant in check just in case we didn't have enough rock that may have been the alternative to go to. Now, we're more confident with our blending capabilities. We understand the percolation characteristics on the heap. So we've made the decision we didn't need that plant anymore.
Cosmos Chiu: I'm just wondering. I know I used to cover Tahoe as well. I know it was no longer needed. I'm just wondering if it's something that you can actually just monetize, in terms of the parts that we're wanting.
Michael Steinmann: If I could add, Cosmos, we do plan to market that equipment. There's some of it we want to keep for other developments we have internally, but there's large pieces of crushing and agglomeration equipment that we will try to market over the next year or so. 
Cosmos Chiu: And then maybe one last question on Dolores, as you mentioned, mining will likely come to an end soon. This is going to be a residual leach sort of operation. Can you maybe talk about the ongoing, what would you call maintenance costs or closure costs that you will need to spend and then as you enter the closure period, what would you need to do in terms of ensuring the safety of site the structural integrity of the leach pads and making sure that no accidents kind of happen? 
Michael Steinmann : I can tell you we're focused on trying to structure the operation when it's in this residual leaching as efficiently as we can. We will absolutely maintain all of the monitoring systems. All of the geotechnical monitoring, elaborate monitoring that we have on the heaps and the dumps during the residual leaching. Those aren't expensive items to instruments to run. The real cost is going to be on just circulating solutions through the heap. And then the big question's going to be cyanide concentration for the solubility of the silver. The gold's pretty well solubilize, so it comes out as you rinse. But the silver, you've got to keep the cyanide concentrations at a critical level.  So that's really going to be what we monitor, what we operate. We'll do it as streamlined as we can. We've made some estimates in this guidance, particularly in Q4, where it's all residual leaching at that time. But until we get there and we actually structure and see how it goes, it may change from that point. 
Operator: And your next question comes from the line of John Tumazos from Very Independent Research. 
John Tumazos : Michael the La Colorado scarring PEA with $2.8 billion of capital. If you go to 50,000 tonnes a day and $2.6 billion, if you stop at 30,000 times a day is a big future item. The share buyback in potentially in 2024, maybe you have a lot of time to earn money until 3, 4, 5 years from now you're heavy into the construction in La Colorado Skarn. Should we take this essentially as your expression of confidence that you're going to complete a JV with a base metal partner and that your share of the capital might be less than half of the PEA number or the subsequent studies are going to reduce that CapEx number and reduce your capital call? 
Michael Steinmann : Absolutely. I think I made it very clear from the first call on that the focus now is to find the right partner for that project. As you can imagine for such a large, I would call it this silver sink deposit of the largest in the world, there is quite some interest from the base metal side just because of the long life the underground nature the underground nature and the big specs in production. So yes, that's absolutely my confidence to work on that -- and such kind of an agreement that obviously will reduce our share on the capital, but always stay focused on that very large silver production. As you remember, there's about 50,000 tonne about 17 million ounces for the first 10 years average silver production, which really will be our focus in any kind of agreement that hopefully we come to.
John Tumazos : Should we also take this perhaps as an expectation that the silver or the zinc prices might rebound to help your economics or that Escobal restarts in Guatemala?
Michael Steinmann : Well, I don't have control obviously, but the silver and zinc prices are going. I think all the listeners have their view on that. I have my view and I think once we see interest rates move the other direction, we will see a strong rebound on precious metals for sure. I don't know when that will happen this year, the different views out on there. But just to remind everyone, like last year, we repaid about $400 million debt and we paid about over $130 million in dividends, while we ended the year with record cash in short-term investment balance of over $440 million. So those are very important numbers here and obviously, one of the reasons why we decided at this point in the market where we believe there's a lot of values, La Colorada is one of them that are not fully included in our share price, but it's a good time and an accretive time to buy back some of our shares. Of course, we're looking forward as you saw there in the quarterly guidance to a stronger and strong 2024, especially the second half when costs come up as we explained with Cosmos earlier in the call. So all that combination and obviously, last but not least, we will continue to work on divestments. We have been, I think, very successful last year on the divestments and we will continue to work on that. So all that together and the fact that we probably created last year dividends sorry, royalties out of those divestments that we did, which I will probably value somewhere in the $150 million to $200 million range at today's prices. So another kind of big value bucket that we have under our control. So I think it's a very prudent approach for us to obviously pay the dividend and come out with that share buyback at this time.
Operator: And your next question comes from the line of Craig Hutchison from TD.
Craig Hutchison: Just on La Colorada, can you give us a sense of what the grades will be in the second half of this year? Obviously, there's going to be a big inflection point. And then how durable are those higher grades kind of going forward? Is it more of a year or two or is it a very short period of time?
Steve Busby : This is Steve. Fortunately, we are seeing the grades at La Colorada that we expect. During Q4, we were about 288 gram silver, that's close to the reserve grade. It's what we expect going into next year. It's really a matter of tonnage. We got to get our tonnage up and the tonnage that we got to increase is in the higher grade portion of the Candelaria Deep Zone. So that's what the ventilation shaft and the vent fans will give us access to get that tonnage job. But we're pretty happy with the grades where they are. We're pretty confident those grades are going to sustain over a long period of time. We see potential to continue to add as we drill out more and more in Colorado. 
Michael Steinmann : We have at the moment probably about nine, eight or nine years of proven proper reserves, this kind of throughput. So, yes, they can sustain a long time. Obviously that will be advances on the scar during that time period. But I think there's a long reserve in the veins later on. Those veins will showing up with the scar and deeper down. 
Craig Hutchison: So the plan from throughput perspective is around 2,000 tonnes a day? Is that we should be modeling next year? 
Michael Steinmann : Once we get the ventilation up and running, that's kind of our target, is get above the 2,000 tonnes a day. Once the ventilation fans are running, we do have some development acceleration that we have to do in that Candelaria zone. So, you'll see it start to ramp up from the current kind of 1,300 tonne a day range. It'll take us a couple months, two, three months to ramp up from there to the 2,000 tonnes a day once the vent fan is running. 
Craig Hutchison: And just in terms of the sort of free cash flow you guys are going to generate here, do you guys anticipate being free cash flow positive in the first half of this year given the higher taxes you have to pay that are usually weighted to the first half or is it sort of a you anticipate free cash flow sort more of a second half story? 
Ignacio Couturier : That's a great question and just following up on what Steve just said, our forecast is for it to be backend loaded and as usual, there is heavy taxes being paid in the first half of the year plus some extra capital. So, we will be able to pay our dividends in the first half of the year without drawing from our credit facility, but the bulk of the free cash flow does come in the second half of the year. 
Operator: [Operator Instructions] And your next question comes on the line of Don DeMarco from National Bank Financial. 
Don DeMarco : First question, you had some strong cost performance in Q4 at a couple of your flagship mines both quarter-over-quarter and relative to 2024 guidance. So, I'm referring to El Penon Q4 ASIC $1,178, midpoint in guidance is $1,250, Jacobina $1,022, and the midpoint of the ‘24 guidance is $1,300. So in light of this Q4, are you feeling more confident on guidance at these mines and maybe even tracking the lower end of the ranges? 
Michael Steinmann : We feel very confident with the guidance we put out for those mines, which does show a modest inflation rate that we'll absorb like 5% to 7%. We've got some wage adjustments that we believe need to be made in Brazil and some added payroll costs that we have to look at there. So I think what we forecasted out we're quite confident of there is some potential upside to those things, but it's really driven on productivity. That's really where we're focusing our efforts there. But I think from the cost side, we're pretty confident in our guidance today.
Steve Busby: Just to add here, don't forget that a big impact to our costs, if we have more than one product at the mine is to buy product credit from our byproduct metal, so that metal price has a big impact. And last but not least, currencies. So foreign currencies have -- and can have a big impact. You saw that in Mexico, where obviously a bit of a strong pace. So that was kind of a headwind on the cost side for us. It can be very strong tailwinds as well. So those are the things that we have no control over. But yes, we are very confident with our guidance over the items that we controlling.
Don DeMarco : So just shifting to Escobal then the IOL consultation meetings resumed and a meeting was held yesterday. It's good to hear that the new minister was present. Is there any feedback from this initial meeting or insight into the next meeting or on any next steps?
Michael Steinmann : Yes, it was the Vice Minister that was present yesterday. It was the first meeting after a few weeks of transition with the new government. The government that has indicated to us to be committed to the ILO 169 process, of course, there was some time needed to transition and integrate the new government. That's absolutely normal and you're correct, the last meeting was yesterday. I think there are some working meetings planned here for the future. But for us really looking forward to continue the process with all the parties involved and there will be for sure, I guess, from time to time updates on the MEM website for the consultation. So just have a look in there for updates from the MEM directly.
Don DeMarco : And final question then, with producer valuations, where they are in the market right now, call it depressed? Are your plans for asset divestment maybe deprioritized until valuations recover?
Steve Busby: Not really. I mean, it depends obviously on the valuation and prices we got. I think we have been very successful divesting assets last year at very, very successful prices and royalties, I think. And most of these projects are especially like last year when you looked at MARA, these are long-term projects, big buyers, big companies. They look at very, very long or much longer timeframe than just current metal prices. So I don't think so that it really impacts a lot their valuation when they look at assets. And I see that continuing into this year.  So all depends on the prices, on the valuations we get from potential buyers this year, but now I'm very confident that we can continue that write down and divest from assets this year.
Don DeMarco : And just as a follow-up to that I think La Arena to the sulphide project has been mentioned as a candidate others certainly are. Can you share any color on what might be the sort of top candidates for divestment consideration?
Michael Steinmann : Look, I mean, I think we talked about La Arena too. Obviously, La Arena 1, our oxide mine is producing. It's a very strong producer for us. I think everybody knows we extended actually that oxide life from probably when we purchased tower like 2021 to 2026, so very successful exploration program on that asset as well. The deep sulphides or deeper sulphides, the copper deposit, obviously like a similar kind of bucket for us than MARA was. We are -- it's not our commodity ready to build out copper deposits. But the rest of the divestments look, we are very active working on it. We are very active working on the search for a partner for La Colorado. And I would like to leave it with that at the moment. Obviously we'll inform the market as soon as anything is ready to share. 
Operator: There are no further questions at this time. Mr. Steinmann, please proceed. 
Michael Steinmann : Thanks operator and thanks everyone for being on the call. It has been a very dynamic year last year, as we indicated with the close of the transaction, integration of the asset selling multiple assets, retaining not only good cash values for that, but also, strong royalties and last but not least, coming out and publishing that really exciting PA on La Colorado Skarn. So very active year.  A lot of cash movements in our portfolio over the year. As I mentioned strong repayment of debt. We don't have short-term debt anymore. Very strong cash balance and being the fortunate situation to be able to use that cash for further growth and keep investing in our projects not only sustaining capital but also project capital on something like La Colorado to advance that project but still be obviously in the position to maintain our dividend and to buy back some of our shares at this -- what I would think very low valuation. So really looking forward to 2024 and looking forward to keep you updated in May of our Q1 results. Until then, thank you very much. 
Operator: Thank you. Ladies and gentlemen that does conclude our conference for today. Thank you all for participating. You may all disconnect.